Operator: Greetings, and welcome to the Flux Power Holdings Fourth Quarter and Fiscal Year 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I'd now like to hand the call over to Peter Geantil, Director of Product Development and Marketing. Peter?
Peter Geantil: Thank you. Hello, everyone. Your host today are Ron Dutt, our Chief Executive Officer; and Chuck Scheiwe, our Chief Financial Officer. They will presenting results of operations for our fourth quarter and fiscal year 2022, which ended June 30, 2022. A press release detailing these results crossed the wires this afternoon at 4:01 PM Eastern Time and is available in the Investor Relations section of our company's website at fluxpower.com. Before we begin the formal presentation, I would like to remind everyone that the statements made on the call and webcast may include predictions, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today's discussion, we'll attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and Form 10-Q for a more complete discussion of these factors and other risks, particularly under the heading Risk Factors. At this time, I will now turn the call over to Flux Power Chief Executive Officer, Ron Dutt.
Ron Dutt: Thank you, Peter, and good afternoon, everyone. I am pleased to welcome you to today's fourth quarter and fiscal year 2022 financial results conference call. Our fourth quarter reflected our trend of strong revenue growth from customer demand for our lithium-ion battery packs in the addition of new customers, along with product improvements. Revenue increased 61% to $42.3 million in fiscal year '22 compared to revenue of $26.3 million in the prior year fiscal year '21. In the fourth quarter of fiscal year '22, revenues were $15.2 million, up 83% from $8.3 million in the prior year, marking our 16th consecutive quarter of year-over-year revenue growth. In the fourth quarter, we received $11.6 million in customer purchase orders from the existing Fortune 500 and new customers. To highlight a few of our successes, we received multiple orders for GSE, ground support equipment, battery packs from an existing large global airline customer who had moved beyond the pandemic constraint on air travel we all experienced. And further, we began receiving initial orders from new customers acquired during the fiscal year. For the fourth quarter, our customer order backlog decreased to $35 million as of June 30, 2022, helped by improvement in sourcing actions to mitigate part shortages, which bodes well for increased confidence in future supplier performance. Our strategic initiatives include accelerating backlog conversion of orders to shipments and also increased inventory turns are also driving lower working capital needs. These initiatives are also increasing gross margins that will lead towards profitability. To that end, shipments increased to $15.2 million as of June 30, 2022, compared to $8.3 million as of June 30, 2021, and $13.3 million as of March 31, 2022. New orders in fiscal year '22 increased 83% to $65 million compared to $35.5 million in the prior year fiscal year '21. That was on continued strong customer demand, reflecting not only order flow from our relationships with our installed base, but new customer acquisitions. In March, we introduced three new products at the annual MODEX 2022 Material Handling Trade Show. First, the L36 lithium-ion battery pack at 36-volt model are the popular 3-wheel forklifts. Secondly, the C48 lithium-ion pack of ours are designed for automated guided vehicles and autonomous mobile robots. And lastly, the S24 lithium-ion battery pack that provides twice the capacity or 210 amp hours for the high-volume Walkie Pallet Jacks. We were pleased to see that the global supply chain disruptions improved during the fourth quarter. While at the same time, we continue to pursue strategic supply chain and profitability improvement initiatives. With lithium cell production expanding in the U.S., we believe onshoring in the future could serve as a potential alternative to reduce reliance in offshore sourcing. Throughout 2022, we have taken aggressive efforts to mitigate supply chain issues. We launched a project to bring in-house assembly of cell modules using automated modular assembly. We also leveraged increased pack sales volumes to resource steel and board components to low-cost regions into high-volume suppliers. During the year, in response to shipping cost increases, we found more competitive carriers to reduce shipping costs and are utilizing lower-cost steel suppliers that meet required specs. We have introduced new product designs based on a new modular platform for our battery packs to address customer needs. And in response -- as well, some of the improvements included higher capacities for extra-long and demanding shifts, easier servicing, lower total cost of ownership and other features to solve a variety of existing performance challenges of customer operations. At the same time, our new designs provided margin enhancement, part commonality and improved serviceability. And we are now producing and moving the first few models of our new platform through UL Listing and forklift OEM approvals, which is part of our certification process and requirements for our packs to be sold with the new forklifts. And inventory decreased to $16.3 million at June 30, 2022, as shipments increased to $15.2 million. And in fact, our inventory turns during the quarter increased from 2.6 x to 3.4x. While supply chain issues are still challenging, our strategic supply chain and profitability improvement initiatives has shown positive results, improved production processes, including implementing lean manufacturing have resulted in increased efficiency, which has seen inventory turns approved, as I just mentioned. Inventory levels have declined as we continue shipping backlog and our strategic initiatives continue to gain traction. In turn, we expect to see a continued sequential reduction in our rate of cash burn and improvement in gross margins. This will be helped by design cost reductions to lower material cost and assembly in addition to those I just mentioned. We recently implemented a $5 million credit facility on March 11 that included $4 million of signed committed credit availability. We believe this credit facility, along with our working capital line with Silicon Valley Bank of $8 million, of which $2 million is currently unused, will provide availability for our ongoing needs. Finally, we are seeing an improvement in supply chain issues from an internal standpoint due to our intense focus on manufacturing processes, procurement and cost efficiencies achieved so far as we execute our top priority of reaching cash flow breakeven and profitability. Our current and potential pipeline of customers continues to expand with a full product line that caters to large fleets who seek a relationship partner to provide battery packs on an ongoing basis. These customers represent a diverse base in multiple segments, all of whom are seeking lower cost and higher performance lithium battery packs. Approximately 90% of our forecasted revenue for this fiscal year 2023, we're in is now identified and reflects shipments we've already made a letter of intent we've received and customer input to order packs for their scheduling with their new forklift purchases. Our experience has been receiving orders from our customers that are needed for their new forklift orders, which often precede battery orders. We have taken actions to restore our gross margin improvement path. As highlighted on Slide 9, our gross margin improved substantially to 20% in the fourth quarter of fiscal 2022 from 14.6% in the third quarter of 2022, reflecting recent progress in restoring our gross margin trajectory as shown on the slide that was impacted by the supply chain disruption. Our improvement initiatives include a number of elements, including our price increases on new orders coming through now, the utilization of alternate vendors and lower-cost suppliers. And new product designs to lower cost, reducing part count and complexity and improving serviceability of packs, all of which are part of our plan to accelerate our gross margin improvement. Part of our supply chain strategy has been insourcing new suppliers for key components. To that end, we have recently sourced a new supplier for TLI [ph] electronics, a supplier in Mexico for harnesses and an offshore Asian steel supplier. We continue to qualify alternate suppliers for critical resources, including electronics, sales, contractors and fuses in response to the supply chain disruption that's been happening and to give us a margin of safety to ensure we deliver our packs on time. As supply chain disruptions have improved, as I mentioned earlier, customer backlog in the fourth quarter declined to $35 million from a record of $38.6 million as of March 31, 2022, and is due to improvement in sourcing actions to mitigate parts shortages. Our part shortages have declined by 50% over the past 2 months. As well, production process improvements and better supply chain management contributed to the improvement. During the quarter, inventory decreased to $16.3 million, as I mentioned earlier, from $20.9 million at March 31 due to more efficient purchasing processes. Inventory turns have continued to improve. Also as I mentioned earlier, from 2.6x to 3.4x during the quarter, reflecting our supply chain and production improvement -- I have mentioned. We are targeting continued improvements in inventory turns in the quarters ahead. Looking beyond reaching profitability and building our success in the material handling industry, we are also focused on broadening our reach into related verticals, including warehouse robotics. With our operational strategy, which includes 6 assembly lines, we are well positioned to continue to leverage our capabilities as the adoption of lithium energy solutions continues to accelerate, including demand from numerous related verticals. On the technology front, we continue to see customer interest in our proprietary SkyBMS telematics product, which provides for remote fleet management and monitoring, which delivers battery pack data to optimize performance and customer fleet tracking. I'm happy to report that customer feedback remains very positive for Flux Power as a leader of the technology for these applications. With that, I will now turn it over to Chuck Scheiwe, our Chief Financial Officer, to review the financial results for the quarter and year ended June 30, 2022. Chuck?
Chuck Scheiwe: Thanks, Ron. Now turning to review our financial results in the quarter ended June 30 as Ron mentioned, revenue for the fiscal fourth quarter of 2022 increased by 83% to $15.2 million compared to $8.3 million in the fiscal fourth quarter of 2021. This was driven by increased sales volume and models with higher selling prices. Gross profit for the fiscal fourth quarter of 2022 increased to $3 million compared to a gross profit of $1.8 million in the fiscal fourth quarter of 2021. Gross margin was 20% in the fiscal fourth quarter of 2022 as compared to 21% in the fiscal fourth quarter of 2021. This is reflecting recovery of approximately 10 points of gross margin decline we had related to the supply chain disruption during the past year. Selling and administrative expenses increased to $4.1 million in the fiscal fourth quarter of 2022 from $3.4 million in the fiscal fourth quarter of 2021. This is reflecting increases in outbound shipping costs, personnel expense related to expanding quality in our service initiatives and a significant increase in insurance premiums. Research and development expenses decreased to $1.4 million in the fiscal fourth quarter of 2022 compared to $2 million in the fiscal fourth quarter of 2021. This was primarily due to lower third-party testing and compliance expense to support product development stages. Cash usage, as discussed previously has supported our actions to protect our customer order delivery timing, giving global product shortages and delivery delays throughout 2022. We have actively worked to reduce inventory balances as the pandemic caused disruption recovers. We ended the year with $0.5 million in cash and have over $8 million working capital line of credit with Silicon Valley Bank, of which $2.5 million is currently available and a recently implemented $5 million credit facility, of which there is $4 million of signed committed debt availability as resources to manage working capital needs. We believe that our existing cash and additional funding available under our SVB credit facility combined with funding available to us under our subordinated LLC will be sufficient to meet our anticipated capital resources to fund planned operations for the next 12 months, barring any anticipated events. We fully intend to avoid raising equity capital prior to reaching profitability. We are on track executing to our gross margin improvement and cost control initiatives. Now turning to review our financial results in the year ended June 30, revenue grew 61% to $42.3 million for the fiscal year 2022 as compared to $26.3 million in the same year ago period. The increased revenue was primarily driven by our sales of a greater mix of larger battery packs that have a higher selling price, combined with a higher volume of units sold to both existing and new customers. In the fourth quarter of 2022 alone, we booked $11.6 million in new customer orders. While there can be some seasonality with orders, of course, strong customer demand continues, along with a gradual reduction in concentration from new customer acquisitions. Although gross profit was higher in the fiscal year, at $7.3 million compared to the same year ago at $5.8 million. Gross profit margins decreased to 17.3% in fiscal year '22 as compared to a gross profit margin of 22.1% in the same year ago period. Gross profit, as mentioned earlier, was impacted by higher costs for steel, electronic parts, common off-the-shelf parts during the year, and those were all partially offset by higher revenues associated with increased sales of our energy storage solutions. Selling and administrative expenses increased to $15.5 million in fiscal year '22 from $12.6 million in the same fiscal period of 2021, reflecting increases in outbound shipping costs, insurance premiums and personnel expenses. Research and development expenses increased to $7.1 million in fiscal year 2022 compared to $6.7 million in fiscal year 2021. This is primarily due to expenses related to new product development and UL certifications. I'd like now to pass it back to Ron, and he will offer some closing remarks.
Ron Dutt: As Chuck mentioned, I want to emphasize that we fully intend to avoid raising equity capital prior to reaching profitability. Profitability is currently our top priority. We're taking it very, very seriously and very specific efforts to achieve it. Looking ahead, we continue to focus on increasing our energy storage solutions to new and existing customers, who are anxious for the benefits of lithium-ion technology and also to focus on expansion into emerging sectors, such as warehouse robotics, high-voltage applications. Now we own our own technology also reduces risk for our large customers. We are, after all, a technology company, and that is great for attracting customers. So let me put it differently, our target customer base of Fortune 500 companies with their large fleets want a supplier who has as good or better technology, both now and the future and then -- we can demonstrate that. As we have said, ours is a relationship business, and this is a great predictor of our future as shown by repeat Fortune 500 customers and more recently multiyear letter of intent in negotiation. Further, during fiscal '22, management brought on 6 new major customers with sustainability initiatives, and these customers have 7-figure revenue potential. Price, service and quality are key factors as to why we continue to win business and will ensure our goal to continue our growth trajectory, particularly as seen on Slide 9 that we looked at. Our current facility should support production well beyond $100 million annually in revenue given our facility footprint, second shift build-out and lean manufacturing implementation. In summary, we are well positioned to create long-term value for our shareholders. Our strategic initiatives have been deployed and are now working to increase profitability and mitigate ongoing global supply chain disruptions and executing our customer order backlog. With continued increases in both customer demand and related production capacity increases, we are accelerating our trajectory to cash flow breakeven and profitability. I look forward to providing our shareholders with further updates in the near term as we continue to leverage our leadership position in lithium-ion technology solutions with our growing list of new and diverse large customers. I thank you all for attending. And now I'd like to hand the call over to the operator to begin our question-and-answer session. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Amit Dayal with H.C. Wainwright.
Amit Dayal: Ron, just I want to congratulate you first on the strong sort of revenue performance for the fourth quarter. In that context, how should we think about future growth, especially over the next, say, 12 months. You're growing at a pretty fast clip. Is this sort of a sustainable level or should we sort of moderate our expectations just from a growth rate perspective for fiscal '23?
Ron Dutt: Yes. No, good question. Thanks, Amit, for the question. We are capacity constrained. We have more demand that we can meet, which is a good thing. At the same time, we've had -- in fact, I go back to that Slide 9, you can see the growth trajectory, which is very impressive and reflects a lot of resources and build out of infrastructure here to support that. As you know, growth takes capital. We feel confident in continuing our -- the inertia we have with growth with the business we have. At the same time, we're careful to not grow faster and get out of control with regard to achieving profitability. So we have a very specific budget plan this year with very specific initiatives and assumptions. We're on track with that to deliver another year of good growth, but also not getting too far ahead of ourselves that we can't achieve our goal of profitability. So I'd say the quarter-to-quarter increases in revenue as we go forward, we don't give guidance on that. But we do see continuing existing customer base to fill out their fleets that continues, and we've added new customers, and we're adding more new customers. You've seen that those 3 slides we have on those marquee customers. So probably the short answer is we're managing through that. We don't want to give guidance, but these are really good challenges for us to have, we believe.
Amit Dayal: Yes, absolutely. So in that context, the $35 million in backlog you have, are you expecting to deliver that in the next 12 months or even faster?
Ron Dutt: Yes, the backlog is interesting. It's like a hopper. You've seen that -- it's in the table that we have in our K and the press release, that reflects the orders we've got and we haven't shipped, but period-to-period, we shipped those orders and then we received new orders in. So I think the question is it's really the pacing. There's still a little lumpiness that we get from orders from these large customers, principally because they're now moving a little more towards bunching their orders and protecting lead times as opposed to the smaller orders over time. So we're seeing -- we've seen the impact that particularly in the last quarter. But did that help?
Amit Dayal: Yes. I mean, I can follow-up offline on that as well.
Chuck Scheiwe: Yes, we can do that offline. Your answer yes, we plan on getting that out here pretty quickly. We've got the stuff in place, we're working through it, and it's flowing well.
Amit Dayal: Understood. And I mean we can probably assume you probably added some backlog since the end of June until now, right?
Chuck Scheiwe: Yes.
Ron Dutt: Yes, yes it's kind of a continual almost month-to-month, almost week-to-week of -- the shipping orders, reducing the backlog, getting new orders in. If you look back since over the past nine months, that backlog has just continued to be around 30%, a little bit more moving around a little bit. Meanwhile, we've been shipping $13 million, $15 million a quarter and that backlog level is still there. The older orders have been shipped out, new orders come in. We manage the shipment schedule. Typically, we'll get an order and the timing could be a couple of months before we have to ship it. So there is a delay. There is a reason for a level of backlog to be there. So -- but to the point, what's critical with our customers, we have to meet their delivery timing. So we can't let stuff shouldn't sit in backlog that long. Therefore, that reflects the net of shipments going out and new orders coming in.
Chuck Scheiwe: Yes.
Amit Dayal: And you're already running a second shift, right, to meet all this demand?
Ron Dutt: Yes. We -- actually, starting in February, we started adding some people to our second shift. We got about six or seven people there that do a lot of work to help prepare for the first shift also built some packs as well. But we have a lot of potential capacity we can expand there because we probably want to add seven or eight more and really increase that to a full second shift. That's not a full second shift at all right now.
Amit Dayal: Okay. And just maybe one last one in terms of the headlines currently in the market around recession-related concerns, is that filtering in your outlook or conversations you may be having with your customers? I just want to see how you're managing that type of environment that everybody sort of is concerned about right now?
Ron Dutt: Yes. Everybody is concerned about it. I'd say two things. One, we haven't seen any impact to the order flow or anticipation or discussions with our customers so far. So who knows what the future holds really. But I'd say the second point is that one of the things about being a material handling stuff has to move and stuff's going to move in a -- either in an upturn or downturn forklifts and particularly battery packs we're out there, we are out. It's like a car. You're running gas, you got to fill it up. And while there can be some impact from a stronger economy to a weaker economy, I don't want to say we're insulated from that, but we certainly -- historically, if you look at the historical numbers, you don't see wide impacts like you do in other sectors like construction and banking and so forth.
Chuck Scheiwe: Yes. Amit, the other thing I might add is that our customers are very large customers. So we're not overly concerned about receivables or those type of items. They have deep pockets. So those are not -- if you had a small customers, you might be more concerned about the recession, but we've got big customers that can now handle this.
Amit Dayal: Understood. I'll take my other questions offline.
Operator: Our next question comes from the line of Chip Moore with EF Hutton.
Chip Moore: I wanted to go back to the top line. I think you talked about having about 90% visibility on your internal forecasts for fiscal '23. I know you don't give guidance, but I think you have talked about that potential to reach a $70 million run rate in the relative near term. Maybe just help us thinking about those dynamics?
Ron Dutt: Yes, again, if you look at our trajectory, our run rate, it doesn't take a lot of imagination to see where we're going. We haven't been losing customers, their relationship. They're building out their fleets. We're getting new customers in terms of revenue. And we just see that continuing. I'd kind of love to give you guidance in a way to be more specific, but we're certainly have a practice here of not doing that for a lot of reasons. But I would say the inertia and strength of our customers' interest in our packs is just, if anything, it's growing as well. So I think the simplest thing to do is go to that trajectory and you can draw several lines and anticipate what to look for in that given that we're certainly controlling our costs and controlling our resources to make sure that we are very responsible in the rate at which we grow.
Chip Moore: Absolutely yes, no that's there. Yes, go ahead. Okay no, that's a good way to look at it. And maybe that's a, segue to the profitability, clearly a focus -- great to see the improvement this quarter, right I think it was 500 basis points more than 500 basis points sequentially? So maybe you can expand on the trajectory there. You talked about seeing continued improvement. That was pretty dramatic quarter-over-quarter. So if we think about product mix and some of the actions underway, help us think about that trajectory over the next several quarters?
Chuck Scheiwe: Yes. We've got a very specific gross margin initiatives going on. Price increases are going into play. We've got orders in the current backlog at new prices. We've got very detailed actions on the cost side of the bar materials, as we mentioned, taking stuff off site to China and -- just an example, just to throw something out there. Like in Mexico, we did a package of harnesses for one of the packs that was 70% lower than what we were getting in the States. There's, some very dramatic things that we're finding that we can do as you keep pursuing this, it will definitely help on the cost side. So as we continue to go through all this, we're going back towards -- we've always mentioned 30%, 35% plus margins, we're on the march to do that. It's going to take time, obviously, because this stuff needs to be put into place, but it's in process. I hope that helps.
Chip Moore: Yes, no, that's helpful, Chuck okay. And on the bookings side I guess, I think you talked about it or covered it. But just with the book-to-bill coming in under 1, is that any reason for that or is that just more timing related and -- maybe an update on that large LOI that you referenced?
Chuck Scheiwe: Yes, its timing based is what we're seeing. The LOI is probably going to turn into purchase orders in October is what we're anticipating, and that's going to be -- that in itself is a dramatic flip to that bucket when that happens. So there's stuff -- we're also seeing customers, as Ron mentioned, that are instead of doing POs for 200, 300 here and here they're weighing and giving -- it's going to be big shifts. You're going to get a PO for a few million is kind of how it's starting to trigger. So there's going to be actually more lumpiness in our back order than we've seen in the past, probably because of some of that.
Ron Dutt: At the same time -- at the same time, please, please note that -- the delivery timing of those large orders are spread out over time as well and principally because the customer has got to spread its forklift deliveries out over time and an operation can't be totally disruptive with large shipments. On a like a given week or maybe even a given month, so all that's really good for us, spreading the timing out from that standpoint.
Chuck Scheiwe: Yes.
Chip Moore: Yes okay no, that's very helpful. Oh yes maybe just one last one from me. You talked about onshoring, right maybe expand on that -- are discussions underway, how the transition like that progress, I think, particularly with some of the incentives -- that are going to be out there? Just how are you thinking about that longer term?
Ron Dutt: Yes, longer term is we all would like to be able to buy these cells from the U.S. or even in Mexico, just to avoid the transit time and potential geopolitical risk that happens. But there's very limited production of lithium batteries in United States, and it's almost double the cost. So we've got to see a scale being built. It's going to take some time. They can't build those factories quickly. But I think you can just pick up the -- reading in the news every day, it's going to happen, how fast we don't know. But we are agnostic to the -- actually the cell chemistry and the shape of the cells, if you want to know the truth. And so, we're very -- we're going to be very flexible. Our CTO monitors this all the time. We're looking at other backup sources. This is a big -- it is 1/3 to 1/2 the cost of our BOM. So it's something we look at very, very closely and looking for all kinds of opportunities, whether it be the supplier, good fit, response to supplier cost, delivery time. And so, the environment is evolving. And I think whatever happens seems like it's going to be for the good in terms of costs. Our cost of our cells have gone down about 30%, 35% over the past 8 years, just principally on volume, and that's despite -- we had a 4% increase some months ago, and that is the only increase in that, considering that total picture we've had.
Chip Moore: Got it. That's helpful all right.
Operator: Our next question comes from the line of Jim McIlree [ph] with Dawson James.
UnidentifiedAnalyst: Orders in the June quarter were down significantly from the prior to. I'm just hoping you can help me understand what's going on with that, particularly in regards to your comments about demand still being quite strong?
Chuck Scheiwe: Yes, it's timing, as we were talking earlier, there's some timing involved there. And what we're seeing is some of the customers we're getting bigger orders, not as frequent orders. Part of that, I think, is in response to delays and everybody knows it's taking time to build stuff. So they want to book a more consistent on their build slots and when these products are going to come out the door. So we're seeing some of that. We've got significant number of customers that are in the process of coming to that PO level, and that is what we're showing there is at the point of purchase order where there's a huge pipeline behind that, leading up to that point that we're very comfortable with. So I think it's mostly timing, and it will rectify itself.
Ron Dutt: Yes, just a little more color to that, just so we don't forget. The timing of our packs because most -- the overwhelming majority of our revenue is tied to the sale of new forklifts, not replacing in the life batteries. And the lead times on forklifts, like most everything else in the economy, has really extended itself. So our orders are going to tie to whatever revised or longer lead times as forklifts have. So I think we can see some of this -- unevenness happened. Because when we talk to all of our major suppliers, our sales guys are in tune with that as are the forklift OEMs because we're all working pretty closely together to monitor the pace and we don't see the overall long-term pace having changed. So it's a great question, Jim. We -- that was not lost on us either.
UnidentifiedAnalyst: All right and can you talk about lead times that you're quoting to customers and where -- they are now, where they might have been, let's say, a couple quarters ago -- where you would hope to get them?
Ron Dutt: Yes a couple of quarters ago, we had some -- it depends on the model, particularly the bigger models we're out more than 6 months. And so, now we're catching up. They're coming down to 2 months or 2.5 or 3 for some of the longer-lead items. The smaller packs move more 6 to 8 weeks. So there has been a reduction in those lead times. And we expect probably some more shortening of that lead time as we go forward. But the dramatic piece has been over the last, call it, 9 months.
UnidentifiedAnalyst: Okay. And then my last question is, and maybe you addressed this in your commentary, but you talk about either -- a gross margin goal at a certain revenue level or a gross margin? I'm assuming your gross margin trajectory yours in -- for fiscal 2023 is up. I'm just trying to get a feel for how much can increase over this year?
Chuck Scheiwe: Right, we've mentioned many times, we don't do forward-looking statements, but you can certainly look at our OpEx running at $5 million to $5.3 maybe million a quarter. You get margins up to 30%, you can back into what the revenue needs to look like. So the revenues are getting very close to that point. We're working hard on getting the margin up a lot of times around here. We don't necessarily have a revenue order issue. We have a margin issue that we're working hard to remedy coming out of this COVID stuff. Once those get back up, we get that rectified, you can -- we just need to get that OpEx covered and you're at breakeven. So I think you can do the math fairly easy without us giving any numbers to you.
Operator: Our next question comes from the line of Matthew Galinko with Maxim Group.
Matthew Galinko: I guess, I noticed DSOs were down sequentially and kind of tracked lower compared to your last few quarters. So just curious, are we sort of at a sustainable level of DSOs and anything specific strategically that brought those down?
Chuck Scheiwe: Are you mentioning inventory turns, are you talking....
Matthew Galinko: Day sales outstanding -- they day sales outstanding?
Chuck Scheiwe: Yes, I continue to work very hard with the -- these are large customers. So we continue to work with them. I think there's some improvement there. I'm currently working with Toyota in part to get, lot of these bigger companies have supply chain financing, where they'll give you accelerated payments on your receivables based on getting into their little special supply chain program, working through that. I've already got that with Crown and Caterpillar. We'll continue to work hard. We do see those continuing to come down even though it's -- a lot of people are warning this as an environment where people are going to pay slower, but we think we're going to go the other way on that, and it will continue to improve a little. It's tough, but it will get better. Does that help?
Matthew Galinko: That was -- yes, and then I guess just one more question on gross margins. You've been talking for a few quarters, I think, about what you're doing strategically around sourcing and trying to mitigate some of the factors that you've been contesting and grappling with over the last few quarters? But how much did the efforts that you've already done, get reflected in your fourth quarter margin? And how much of that is still sort of percolating into results that we'll see get baked into future quarters?
Chuck Scheiwe: Yes, probably less than 25% was hitting in the fourth quarter, what we have on the plate. A lot of the fourth quarter was actually some of the market coming back in, in terms of steel prices dropping. So there's this piece of it that's naturally happening. And then there's a chunk of it that we're actively going after. The part that we're actively going after, I would say, is only less than 25% was in the fourth quarter. We had a lot of plans and a -- lot of space to go still on those initiatives. Does that help?
Operator: I would now like to turn this call back over to Mr. Dutt for closing remarks.
Ron Dutt: Thank you, Laura. I'd like to thank each of you for joining our financial results conference call today and look forward to continuing to update you on our ongoing progress and growth. If we were unable to answer any of your questions, please reach out to our IR firm, MZ Group, who would be more than happy to assist. Thank you, and good day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and enjoy the rest of your day.